Operator: Good morning, and welcome to the Carpenter Technology Corporation Second Quarter 2024 Fiscal Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to John Huyette, Vice President of Investor Relations. Please go ahead.
John Huyette: Thank you, operator. Good morning, everyone, and welcome to the Carpenter Technology earnings conference call for the fiscal 2024 second quarter ended December 31, 2023. This call is also being broadcast over the Internet, along with presentation slides. Please note, for those of you listening by phone you may experience a time delay in slide movement. Speakers on the call today are Tony Thene, President and Chief Executive Officer; and Tim Lain, Senior Vice President and Chief Financial Officer. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Carpenter Technology’s most recent SEC filings, including the company’s report on Form 10-K for the year ended June 30, 2023, Form 10-Q for the quarter ended September 30, 2023, and the exhibits attached to those filings. Please also note, that in the following discussion, unless otherwise noted, when management discuss the sales or revenue that reference excludes surcharge. When referring to operating margins that is based on adjusted operating income, excluding special items and sales excluding surcharge. I will now turn the call over to Tony.
Tony Thene: Thank you, John, and good morning to everyone on the call today. I will begin on Slide 4 with a review of our safety performance. For the first half of fiscal year 2024, our total case incident rate was 1.9. This marks an improvement over the last quarter, as we continue to integrate less experienced employees into our operations. We are targeting specific areas with employee engagement programs to identify and eliminate potential issues. Our target remains a zero injury workplace and we will continue to work tirelessly to achieve that target. Now let’s turn to Slide 5 and review of the second quarter. For the second quarter of fiscal year 2024, Carpenter Technology continues to deliver on its targets with reported operating income of $69.8 million. In this most recent quarter, we continue to build momentum, resulting in another strong quarter and the second most profitable first half of the fiscal year in the company’s history. Most notably, the SAO segment exceeded expectations for the quarter, delivering $83.3 million in operating income above the outlook we provided of $78 million to $82 million. Further, SAO realized an adjusted operating margin of 20%, up from 19.4% in the previous quarter. Impressive performance, but we have line of sight to further improvement. We expect additional margin expansion with an ongoing focus on product mix optimization and targeted continuous improvement in operational productivity in the second half of fiscal year 2024. Beyond profitability, we generated $14.6 million of cash from operations during the quarter, maintaining a healthy liquidity of $350.1 million. In addition, during the quarter, we completed multiple accretive long-term agreements with key customers across our aerospace and medical end use markets. Our customers continue to affirm our extreme importance to their supply chains and we remain focused on strategic engagement and alignment with them. And most importantly, we continue to operate in a strong demand environment across end use markets where our material solutions are valued by our customers. Now, let’s take a closer look at our second quarter sales on Slide 6. In the second quarter of fiscal year 2024, sales decreased slightly sequentially and increased significantly year-over-year. As anticipated, sales and volumes remained relatively flat sequentially, largely due to fewer operating days and targeted mix management. In aerospace, end market demand remains extremely robust. Airbus announced record order intake in 2023 and OEMs continued to target build rate increases across key platforms in 2025 and 2026. Our customers are likewise forecasting upticks in their own output and demand needs. With demand at high levels and plans to increase even further, the focus of the industry continues to be on the supply chains ability to increase output. Demand in defense also remains high. Over the last quarter, we’ve seen engagement with customers increase as planning horizons for defense needs are often much shorter than extended industry lead times. Sales to our aerospace and defense customers were down 5% sequentially and up 23% year-over-year. Most of the sequential decline was due to the timing and mix of shipments in this quarter. In addition, the substantial increase in energy sales impacted aerospace shipments as some energy products use similar manufacturing flow paths. Just to confirm the overall aerospace market strength, as we look ahead, we expect the second half of fiscal year 2024, aerospace and defense sales to be approximately 25% higher than our first half of fiscal year 2024, a significant expected increase period over period. In the medical end use market, demand remains strong, supported by patient backlogs and the broader macro trends of improving patient outcomes and an aging population. Like aerospace, our medical customers also remain focused on securing supply, with multiple customers completing supply agreements with us over the last quarter. Our medical sales in the quarter were up 10% sequentially and up 16% year-over-year. This was a record quarter for medical sales following a very strong first quarter and reflects concerted efforts to accelerate shipments. Our medical customers continue to emphasize the tight link between our material flow and patient surgeries, and we understand our critical role in the supply chain. In our other end use markets, demand for our premium solutions remains positive. Transportation demand has stabilized after supply chain disruptions over the last quarter. Energy demand both for oil and gas and power generation remains very high as the world continues to focus on balancing energy supply with demand. And in other areas like our semiconductor submarket, long-term demand remains strong, supported by solid underlying fundamentals such as increased connectivity and computing needs. Altogether, we continue to see high demand for our premium solutions, which are critical enablers of the applications they support. In addition, our backlogs remain at record levels and customer engagement is high. We also continue to focus on using our assets in a way most valued by our customers. To that end, in the second quarter, we saw margins improved, especially in the SAO segment, resulting in a sequential increase in our operating income. Notably, SAO’s adjusted operating margin reached 20% in the quarter, up from 19.4% in the first quarter of fiscal year 2024 and 16.8% in the fourth quarter of fiscal year 2023. We anticipate our margins will continue to improve with productivity improvements and a richer product mix. Now, I will turn it over to Tim for the financial summary.
Tim Lain: Thanks, Tony. Good morning, everyone. I’ll start on Slide 8, the income statement summary. Net sales in the second quarter were $624.2 million with sales excluding surcharge totaling $485.3 million. Sales excluding surcharge increased 15% from the same period a year ago on 3% lower volume. Sequentially, sales were down 2% on 2% lower volume. The year-over-year increase was driven by the ongoing shift in product mix as we continue to focus our capacity on more complex, higher value materials, as evidenced by the growth in sales despite lower volumes. As Tony covered in his remarks, our focus remains on unlocking incremental capacity by improving throughput rates to drive further volume and sales growth in the second half of fiscal year 2024. Gross profit was $122.6 million in the current quarter, compared to $70 million in the same quarter of last year and $124.1 million in our recent first quarter. SG&A expenses were $52.8 million in the second quarter, up about $5 million from the same period a year ago and roughly $2 million lower sequentially. The increase in SG&A expenses versus the same quarter last year is primarily driven by increasing headcount and higher variable compensation accruals. The SG&A line includes corporate costs, which totaled $20.7 million in the recent second quarter. As we look ahead to the upcoming third quarter of fiscal year 2024, we expect corporate costs to be about $22 million. Operating income was $69.8 million in the current quarter compared to $22.6 million in the same quarter a year ago and $69 million in our recent first quarter of fiscal year 2024. We continued to see profit margin improve with total company adjusted operating margin reaching 14.4%, up slightly from 14% in the previous quarter and up significantly from the 5.4% in the same period a year ago. The strong operating income results for the quarter reflect the ongoing impact of an improving product mix and our focused efforts to increase production activity levels to support customer demand. Again, we expect to see the benefits of these actions flow through our operating results in the upcoming second half of our fiscal year 2024 and beyond. Moving on to our effective tax rate. For the recent second quarter, our effective tax rate was 22.6%, which is just below our expected effective tax rate of roughly 24%. The lower effective tax rate was driven by tax benefits recognized in the current quarter related to certain share based compensation awards. For the full year, we continue to expect the effective tax rate to be in the range of 22% to 24%, which assumes that for the balance of the year, the effective tax rate will be roughly 24%. Earnings per diluted share for the current quarter was $0.85 per share. The results demonstrate our continued momentum supported by improving profitability and a strong demand environment. Now turning to Slide 9 and our SAO segment results. Net sales for the second quarter were $549.4 million or $416.2 million excluding surcharge. Compared to the same period last year, net sales excluding surcharge increased 20% on 1% higher volume. Sequentially, net sales excluding surcharge were flat on similar volume. The year-over-year improvement in net sales was driven by the impacts of higher prices and an improving product mix across our key end use markets, as Tony reviewed in the second quarter sales slide. Moving to operating results, SAO reported operating income of $83.3 million in our recent second quarter, which outpaced our expectations. On a year-over-year basis, the SAO operating income improved by $53 million, largely due to higher sales driven by strong demand and improving product mix and higher prices. On a sequential basis, operating income improved by about $3 million. The improvements in productivity, product mix and pricing are evident in the adjusted operating margin, which has increased to 20% in the current period as compared with 8.8% in the same period a year ago and 19.4% in our recent first quarter. Looking ahead, the SAO team remains focused on executing actions to further increase production levels and production flow and to actively manage the product mix to maximize the capacity for high value products. Based on current expectations, we anticipate SAO will generate operating income in the range of $87 million to $91 million in the upcoming third quarter of fiscal year 2024. Now turning to Slide 10 and our PEP segment results. Net sales in the second quarter of fiscal year 2024 were $95.7 million or $87.9 million excluding surcharge revenue. Net sales excluding surcharge decreased 10% from the same quarter last year and decreased 6% sequentially. In the current quarter, PEP reported operating income of $7.1 million. This compares to operating income of $9.3 million in the same quarter a year ago and operating income of $9.1 million in the first quarter of fiscal year 2024. The majority of the decline in both sequential and year-over-year sales and profitability is related to our distribution business. For context, our distribution business is a North American distributor of tool and high speed steels. Our distribution business sources its supply from unrelated third parties and sells to customers with no overlap to our other businesses. The sales from our distribution business represent less than 5% of corporate technology’s total sales this fiscal year-to-date. In the context of PEP, our smaller segment challenges in distribution sales and operating income are magnified as evidenced in the performance of PEP in our most recent quarter compared with the expectations we set. The distribution business has been dealing with near-term market headwinds over the last couple of quarters related to general industrial macroeconomic conditions, including rising interest rates and falling commodity prices, which has influenced customer order patterns in the near-term. While we’re working to mitigate the impacts of distribution and expect the results to improve via higher volume and lower cost in the upcoming quarters, it’s important to point out that our outlook does not anticipate a meaningful contribution from our distribution business for the balance of the year, we’re in our longer-term outlook. With all that said, as we look ahead, the growth driver for our PEP segment is our Dynamet titanium business. For Dynamet, the fundamentals are similar to SAO. Dynamet serves primarily the aerospace and defense and medical end use markets where demand for Dynamet’s titanium solutions remain strong. We are focused on increasing productivity and throughput across the operations to meet our customers’ needs and expect to see continued improvement in output in the coming quarters, driving higher profitability. With that in mind, we currently anticipate that the PEP segment will deliver operating income in the range of $9 million to $10 million for the upcoming third quarter of fiscal year 2024. Now, turning to Slide 11 and a review of adjusted free cash flow. In the current quarter, we generated $15 million of cash from operating activities compared to $7 million in our recent first quarter and cash used for operating activities of $86 million in the same quarter last year. Our earnings growth over the last year is demonstrated in our cash flow as we generated $22 million of cash from operations in the first half of fiscal year 2024 compared to cash used for operations of $165 million in the same period a year ago. Given the significant focus on increasing activity levels over the last several quarters, we deployed cash to increase inventory. We increased inventory by $158 million in the first half of fiscal year 2024 relative to an increase of $227 million in the first half of fiscal year 2023. As we look ahead to the second half of fiscal year 2024, based on our outlook for production and shipment activity, we will continue to be thoughtful about how we manage inventory and currently anticipate inventory levels to moderate and trend down for the balance of this fiscal year. With our outlook for earnings and working capital, we anticipate a considerable increase in cash from operations in the second half of fiscal year 2024. In terms of capital expenditures or CapEx, in the current quarter, we spent $25 million. We continue to expect about $125 million in CapEx for the full fiscal year of 2024. With those details in mind, we reported negative adjusted free cash flow of $11 million in the second quarter of fiscal year 2024 or roughly negative $25 million in the first half of fiscal year 2024 compared with negative $196 million in the first half of fiscal year 2023. We anticipate that for fiscal year 2024, we will generate meaningful positive free cash flow. As I mentioned earlier, the free cash flow generation will be driven by increasing earnings and managing inventory levels for the balance of the year. Our liquidity remains healthy and we ended the current quarter with total liquidity of $350 million, including $16 million of cash and $334 million of available borrowings under our credit facility. With that, I will turn the call back to Tony.
Tony Thene: Thanks, Tim. Now let’s take a look at our fiscal year 2024 and longer term outlooks. On our last call, I communicated our expectations for fiscal year 2024, most notably, the significant step up in profitability anticipated in the second half of fiscal year 2024. Having just completed a strong second quarter, setting one of our best first halves on record, we are reaffirming our previous guidance for a strong second half of the fiscal year. We continue to build operating momentum, unlocking additional capacity and increasing productivity rates as we work to return to and ultimately surpass our pre-COVID production levels. Notably, we have certain key work centers that have additional upside potential as our mix continues to shift to more difficult to manufacture products. In the second quarter, we saw these work centers take significant steps towards collectively reaching this potential and we expect continued progress through the second half of this fiscal year. Specifically, in SAO, we drove increases in output at our primary melt work centers late in the second quarter. That output will begin to ship during the third quarter and is expected to have meaningful impact in the upcoming fourth quarter as well. As a result of the expanding margins and increasing output, we are anticipating total company operating income of $74 million to $79 million in the third quarter of fiscal year 2024. And with the additional capacity flowing through the system, we anticipate taking another significant step up in productivity and shipments in the fourth quarter of fiscal year 2024, generating $97 million to $112 million in total company operating income. In total, we currently expect $171 million to $191 million in total company operating income in the second half of fiscal year 2024. Combined with our strong first half, we are currently projecting to deliver the most profitable year in the history of the company with $310 million to $330 million in total company operating income. Now, let’s take a look at how this second half fiscal year 2024 outlook fits in with the longer term fiscal year 2027 earnings growth projections on the next slide. As I’ve detailed in previous calls, our goal is to double fiscal year 2019 operating income by fiscal year 2027. These figures imply a 40% compounded annual growth rate on the operating income from fiscal year 2023 through fiscal year 2027. As you can see, we are projected to take a meaningful step this fiscal year. With projected operating income in a range of $310 million to $330 million, we expect to realize approximately 50% of the opportunity in fiscal year 2024. Further, we believe that there’s opportunity to accelerate the realization of the current FY2027 target and given our strong position in the market, that growth opportunities will continue beyond fiscal year 2027. As outlined on this call today, Carpenter Technology offers a unique value proposition to investors. We are committed to our strategy of serving customers with high value applications in high growth markets that value our unique material solutions. We continue to improve our productivity and expand our margins, consistently delivering strong financial performance quarter after quarter. The near-term and longer term demand outlook is strong across to our end use markets for our broad portfolio of specialized solutions. We have leading capabilities with a difficult to replicate system of assets and we continue to drive improved productivity to unlock additional capacity to capture the demand. Finally, we have a strong growth outlook in both the near-term and longer term with opportunities to further accelerate and increase profitability. Thank you. And now, I’ll turn the call back to the operator.
Operator: Thank you very much. And we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gautam Khanna from TD Cowen. Gautam, please go ahead.
Gautam Khanna: Hi, good morning. Thanks, guys.
Tony Thene: Yes. Good morning, Gautam.
Tim Lain: Good morning.
Gautam Khanna: I had a couple of questions. First, perhaps I missed it, but what was the backlog growth sequentially in the quarter?
Tony Thene: Sequentially, the backlog was relatively flat year-over-year, it was up about 20%.
Gautam Khanna: Okay.
Tony Thene: But remember, Gautam, we’re moderating that as we manage our order book. So it could definitely been higher if we wouldn’t have done that.
Gautam Khanna: Understood. And so where are lead times today in terms of number of weeks?
Tony Thene: I assume you’re speaking about aerospace billet, and in that case, they’re 65-plus weeks.
Gautam Khanna: Great. Could you talk about, are there any long-term agreements with customers that are coming up for renewal over the next 6 to 12 months? And how significant might those price resets be?
Tony Thene: The answer is, yes. And to the first part of your question, and secondly, also yes, they will be significant to the overall structure.
Gautam Khanna: Okay. And can you quantify, like, maybe what that – how much of the aerospace business those contracts might represent?
Tony Thene: Well, there’s always, at any time, multiple contracts that we are renewing. We had several in this last quarter. As you know, on the aerospace side, those are primarily a handful of large customers, and there’s still a couple of those that will renew over the next year or two.
Gautam Khanna: Any way to comment on how much the ones that were renewed repriced at relative to the legacy contracts?
Tony Thene: Well, they were…
Gautam Khanna: Like [indiscernible]
Tony Thene: Yes, they were significant price increases. I think it’s known in the industry that you’re looking at sometimes 40% price increases in some of these products that certainly it varies. As you know, there’s a lot of different alloys, but these are a significant reset to prices. Knowing that some of these contracts were – that are renewing not just with us, but I’m sure with others, sometimes five or ten years long. So you’re seeing a pretty long period of time there before contracts reset in a market today that is extremely strong. So it’s not surprising that you see that type of movement.
Gautam Khanna: Last one for me, just on the non-aero markets where you mentioned there were some sensitivity, again, just outside of the aero business, does that only relate to that distribution piece or are you seeing weakness in the order book for other end markets, whether it be transportation or some of the other ones?
Tony Thene: Yes, that comment – it just relates to that distribution business. I mean, that was – that’s a small business that we acquired as part of a larger acquisition 10-plus years ago. So it buys and resales material that is not Carpenter Technology. So it really is a standalone entity. So we were referring to weakness only in that market and not in our other markets that SAO or Dynamet serves.
Gautam Khanna: Thanks a lot, guys.
Tony Thene: Thank you, sir.
Operator: Thank you. And our next question comes from Josh Sullivan from The Benchmark Company. Josh, you may proceed.
Josh Sullivan: Hey, good morning.
Tony Thene: Good morning, Josh.
Josh Sullivan: As far as the current kind of 3Q to 4Q cadence assumed here in guidance, what are the major differences now, if any, from kind of the initial perspective or this perspective last quarter.
Tony Thene: Really no difference for us. Our third and fourth quarter internal forecast have remained relatively the same. So I’d ask you to maybe phrase it a little bit different. There’s something I’m missing there.
Josh Sullivan: No, I just wanted to get kind of your perspective, if anything had really changed there. And it doesn’t same like there.
Tony Thene: Yes. No, I mean, you remember last quarter, sorry for that. You remember the last quarter, we gave guidance for the second half in total, which was roughly 28% to 35%. They gave you roughly that $310 million to $330 million. So we’re reaffirming that guidance. Now what we did this time was give you specifically Q3, right, which we didn’t last quarter that allows you to back into Q4. Now that Q4 has a pretty healthy increase. But we’re comfortable with that only because if you recall from my comments that we saw some really improved productivity in our primary mill assets towards the end of this past quarter. So in the December time frame, because of the lead times that it takes to get through the plant, we’ll see some of that benefit in the third quarter, but significant benefit in the fourth. So that’s really what you’re seeing. You’re seeing those improvements in productivity that really show themselves four to six months later in shipments and that’s what you’re seeing in that fourth quarter number. So we have very clear line of sight to that.
Josh Sullivan: And then just as far as the 737 MAX issues and production rates as those are digested, how quickly can you change your aerospace spot demand to move into the aftermarket or other programs or just within the spot market? What do you expect as far as the fungibility of demand, and do you expect a big impact from the MAX near-term?
Tony Thene: Let me take a step back just as I had a couple of notes, and maybe answer it this way, Josh, and see if I hit your point and please follow up. Because I think it is an important point. That was big news that came out, obviously late last night, and I can say we see no material impact to our second half of FY2024, obviously, just because of the lead times, the financial projections that we put out there today. If you move more to the long-term, I think it is important to recognize, because it does get very, very hot topic, that there’s really no changes to the underlying demand for air travel or the significant increases that are projected going forward, right. So airlines need more airplanes delivered to them. That’s why you see record Airbus orders last year. And that point has been reaffirmed, I think, over and over by airline operators who continue to push for more planes to be delivered. Obviously, you talked about MRO, the industry needs new planes as we get older planes flying, and that increases MRO needs. So in this case here, if you would see any type of movement on the OEM side, that MRO demand would go up even further. And certainly Carpenter Technology were central part in delivering that demand, whether it be OEM or MRO, because as you know, where we’re at in the supply chain, our product can branch out into many different ways. So I think really what we’re discussing here with this specific news is how and over what period of time the supply chain is going to be able to meet that demand. But make no mistake, that demand is going to be there. And if I could say one more thing, meeting that demand in a safe, responsible, and quality way is what Carpenter Technology is already focused on. You’ve heard us talk about that all the time. We’re not going to push rates up. That’s going to sacrifice safety or quality. So we totally agree with the approach being taken in the wider industry. That should be the focus. And as you bring that type of discipline to the entire supply chain, you’ll see those build rates push out, obviously, and I believe you’ll see this super cycle extend, which is really good news for suppliers like Carpenter Technology. Hopefully that answered your question, Josh, but happy to take any follow-up.
Josh Sullivan: Yes. No, it does, just kind of on the follow-up, though just taking that together in your comments during the call, just about the upside pressure to the 2027 targets. I imagine that all incorporates into that. And so I think you did cover that, but yes, thank you for the time.
Tony Thene: Yes. Thank you, sir.
Operator: [Operator Instructions] And now we have a question from Chris Olin from Northcoast Research. Chris, please go ahead.
Chris Olin: Hey, good morning, guys.
Tony Thene: Good morning.
Tim Lain: Good morning.
Chris Olin: Wanted to just ask a question on Dynamet, I realize that business uses surcharges to pass through the higher costs like titanium, but I’m wondering if there is any risk to margins given the upward movement that we’re seeing in the titanium sponge market now. I guess, in other words, does Dynamet have any exposure to fixed pricing on the aerospace side, or is there a point where we start thinking about elasticity of demand or like some of the customers halting purchases because the price points get too high?
Tony Thene: Well, as you well know, Chris, that can be a pretty complicated question. As you said, we have surcharge mechanisms that protect Dynamet. Certainly, there can be movements between quarter and quarter if any of those are material and they haven’t been in the past – certainly call those out, but no issues there. And our surcharge moves from time to time based on the current market. So we have that in place. I think the bigger story with Dynamet is the potential that it has to move even generate more earnings. They’re very similar to SAO in that standpoint with the markets they serve 95%-plus aerospace and medical demand is very strong, and we’re looking for ways to increase our supply out of Dynamet. So as we look forward, Dynamet is a big growth driver for us, and I don’t anticipate any risks around the titanium sourcing.
Chris Olin: Okay. Commodity nickel pricing has been falling. I’m just wondering if that had any negative impacts on the business at all, even when you think about some of the distribution markets.
Tony Thene: We just announced a record quarter and said that we’re going to increase it significantly over the next two quarters and have the highest profitability year in the history of the company. So, no, we do not see any negatives in terms of nickel billet pricing.
Chris Olin: Thanks.
Operator: And we will follow with a question from Samuel McKinney from KeyBanc Capital. Samuel, please go ahead.
Samuel McKinney: Hey, good morning, guys. First, speaking to your energy end market sales, you had a big sequential and year-over-year sales improvement. Within that, what are you seeing from power generation to we assume that’s a bigger piece of the energy pie than oil and gas.
Tony Thene: That’s a fair comment. These orders are placed sometime out, so as they come into the queue, that’s how it laid out in our second quarter. And certainly, power generation is a small market for us, but as you can tell a profitable one. And you saw some of that spike in demand come through in the second quarter. So that’s good news for us. As we’re more than happy to take that type of business and prices in that market are obviously moving in step with current aerospace pricing.
Samuel McKinney: Okay. And then any way to quantify or discuss the power gen versus oil and gas split within energy?
Tony Thene: Well, energy is a small part of our overall portfolio. So you could say that it’s roughly 50/50, but that moves – that can move from quarter-to-quarter based on the market. And in this case, in the quarter, we just completed that was primarily power gen.
Samuel McKinney: Okay. Thank you. That’s helpful. And then next for me, can you just outline the jet engine revenues quarter-over-quarter for us?
Tony Thene: Our jet engine, I can say it this way, from a volume standpoint, we talked about overall aerospace being down 5% sequentially. Again, that’s really due to the timing and the mix of shipments. There’s no issue from a demand standpoint. We stated that the aerospace sales for us would be approximately 25% higher in the second half versus the first half. So engines and fasteners followed that same range. We had aero engine down approximately 10, and I think fastener was down sequentially approximately five or six. You’ll see large increases in that – in second half versus first half.
Samuel McKinney: All right. That’s helpful. Thank you, guys.
Operator: And this concludes our question-and-answer session. So I would like to turn the conference back over to John Huyette for any closing remarks. Please go ahead.
John Huyette: Thank you, Marlis [ph], and thank you, everyone for joining us today for our fiscal year 2024 second quarter conference call. Have a great rest of your day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect. Have a good day.